Jean-Jacques Guiony: Ladies and gentlemen, good afternoon, and welcome to today's conference call. I am Jean-Jacques Guiony, the Chief Financial Officer of the LVMH Group. Before I begin, I must remind you that certain information to be discussed on today's call is forward-looking and subject to important risks and uncertainties that could cause results to differ materially. For these, I refer you to the safe harbor statement, including in our press release. Let's now move to today's topic, first half figures. After a brief discussion on the first half highlights, Chris Hollis, the group's Head of Investor Relations, will cover the main developments of our different businesses. And Rodolphe Ozun, Deputy Director, Investor Relations, will then comment on the main figures. After this, Chris, Rodolphe and I will be available for your questions. The press release is available on our website lvmh.com as well as the slides for today's presentation and the interim financial report. Moving to the first slide of the presentation. I would say that the first half of 2023 has seen an excellent performance despite a disruptive environment and clearly reflects the strength of LVMH strategy of having a diverse and balanced portfolio of brands sold all around the world. Organic revenue is up 17%. Profit from recurring operations is up 13% and a 27.4% operating margin, €1.8 billion in free cash flow after €3.6 billion operating investment and respectable gearing of 21%. We will go into some details, but the main point to bear in mind, in my view, should be the double-digit revenue growth in all business groups, except Wines & Spirits, strong progress in Europe and Asia, excellent performances of our main brands and also some smaller brands. I will now turn to Chris, who is going to review the main developments within our various business groups. Chris?
Christopher Hollis: Thank you, Jean-Jacques. We'll now dive into the performance of the business groups, beginning as always, with Wines & Spirits. If you go to Slide 7, in the first half of 2023, reported revenue totaled €3.2 billion compared to €3.3 billion in the year-ago period. This reflected a 3% decline in organic terms and 2% negative currency impact and a 1% positive impact from the acquisition of Joseph Phelps. Profit from recurring operations was €1.1 billion, a decline of 9% from €1.2 billion, in the first half of 2022, leading to 180 basis points decline in operating margin to 32.9% compared to the year-ago first half. Breaking this down, Champagne and Wines organic revenue increased 8% driven by the execution of its value strategy together with a negative 4% currency impact and a positive 1% impact from the acquisition of Joseph Phelps. Reported revenue was €1.6 billion compared to €1.5 billion for the year-ago period. The segment benefited from growth in Europe and Japan, continued firm price increase policy and several new collaborations and brand evolutions. Dom Pérignon worked together with Lady Gaga on its newest vintage 2013 Champagne, while Veuve Clicquot opened the doors of the 3rd edition of its Solaire Culture exhibition in London. Ruinart launched its new Blanc Singulier cuvee with the flavor profile shaped by the atypical climate of a year. And additionally, Château d'Esclans continued its international expansion. And the acquisition of Château Minuty added to our portfolio of globally recognized prestige Rose from Provence. Moving now to Cognac and Spirits. Organic revenue for Cognac and Spirits declined 11%. And adding a negative 1% currency impact, reported revenue was €1.6 billion compared to €1.8 billion in the year-ago period. This reflected softer demand in the U.S. due to the inflationary economic environment and high inventory distributors at the beginning of the year. This was offset in part by the recovery in China as COVID restrictions eased. To give some further insight into activities in the first half, Hennessy and the NBA rolled out their partnership in all markets. And Hennessy accelerated the implementation of renewable energy sources for all their production sites. And with respect to some of the other Spirits brands, Belvedere Vodka and Glenmorangie whiskey both continued their creative innovations. Now on to Fashion & Leather Goods. This is Slide 10. In the first half, organic revenue in this business group increased a strong 20% and including a negative 3% currency impact reached €21.2 billion from €18.1 billion in the last year's period. Profit from recurring operations rose 14% from €7.5 billion last year to €8.6 billion. Operating margin in the first half of this year declined 90 basis points to 40.5% from 41.4% in the first half of 2022. As always, Fashion & Leather Goods delivered exceptional performance, particularly at Louis Vuitton and Christian Dior driven by strong creativity and growth across categories. At Louis Vuitton, Nicolas Ghesquière once again demonstrated his enormous talent, designing fantastic and highly sought-after women's collections. The men's show, an exhibition of Pharrell Williams' inaugural collection held on Pont Neuf in Paris, was very well attended and well received with significant global attention in both the traditional and on social media. Further, the brand showcased its renewed emphasis on the intersection of art, culture and fashion with the introduction of Yayoi Kusama's collaboration, which performed very well. In other highlights, the LV Dream immersive exhibition attracted attention in Paris. And the Louis Vuitton family's house in Asnieres, where the historic workshop is located, served as a location for the Malle Courrier exhibition. Christian Dior hosted inspiring fashion shows around the world from Mumbai to Mexico City to Paris with collections designed by Maria Grazia Chiuri and Kim Jones. The brand also showcased the iconic Lady Dior bag in the Christian Dior, Designer of Dreams exhibition in Tokyo. And a new high jewelry collection, Les Jardins de la Couture, featuring 170 whimsical and colorful pieces created by Victoire de Castellane, equally proved to be a success. At Celine, Hedi Slimane's collections continue to be very well received from the new and now iconic Triomphe bags to ready-to-wear. Loewe benefited from the fresh and bold creativity of Jonathan Anderson. Its expansion continues with its new flagship store in Dubai, which is open to join the existing Loewe store in the Dubai Mall. Fendi opened its first Palazzos in Seoul and Tokyo, while it's Hand in Hand exhibition in Japan brought together a celebration of Italian craftsmanship and the iconic baguette. Loro Piana spring 2023 and resort collections were highly successful as were its Extra Pockets and Bale bag collections. Marc Jacobs experienced sustained growth in its flagship handbag lines, Tote Bag and Snapshot. Maisons also expanded its store network in the U.S. and Europe. Rimowa has continued its successful focus on raising brand awareness and elevating its distribution through improved owned stores and more qualitative retailers, while Berluti launched the new Lorenzo Drive moccasin and expanded its store footprint. Now moving to Perfumes & Cosmetics, Slide 13. You'll see in the first half of the year, organic revenue for this segment rose 13% and together with a 2% negative currency impact and a negligible positive impact from the acquisition of Officine Universelle Buly reached a reported revenue of €4 billion, up from €3.6 billion in the prior year period. Profit from recurring operations increased 15% to €446 million from €388 million in the first half of 2022. Our operating margin for the first half of the year increased 40 basis points to 11.1% compared to 10.7% in the first half of 2022. Perfumes & Cosmetics saw excellent momentum during the half, bolstered by its highly selective distribution and promotional strategy. Parfums Christian Dior delivered solid performance with leadership across its key markets. Its core fragrances Sauvage, J'adore and Miss Dior saw their enduring success continue while a new scent by Francis Kurkdjian, Dioriviera, was added to the Maisons La Collection privee. The brand introduced another new and innovative product, the Dior Addict Lip Maximizer, to its portfolio, while its premium skincare line, Prestige, saw good momentum in Asia. Additionally, a brand-wide transition to using beetroot for nearly half of its alcohol needs in production formulation is underway together with Givenchy and Kenzo. Aqua Allegoria saw strong growth and the high-end L'art et la Matiere perfume collection was bolstered by the introduction of a new scent, Jasmin Bonheur. In Cosmetics, its new Terracotta Le Teint natural, long-lasting and smudge-proof foundation was very well received. And L'Interdit, Gentleman Society and Irresistible Rose Velvet, the iconic Parfums Givenchy fragrances, enjoyed continued success. Benefit expanded its The Porefessional line of pore minimizing primers and launched its new Brow Lamination service in stores. Make Up For Ever rolled out the HD SKIN POWDER, a new product in its highly popular HD Skin line, while Fenty's new volume mascara, Hella Thicc, also performed very well. Maison Francis Kurkdjian continued the development of Baccarat Rouge 540 and began its collaboration with the Palace of Versailles for the new Jardin du parfumeur where hundreds of new -- of different perfume-making plants are being grown. Acqua di Parma's Colonia line enjoyed strong momentum, and the brand successfully increased the exclusivity of its distribution. Now for Watches & Jewelry and moving to Slide 16, you'll see the organic revenue increased 13%, after a negative 2% currency impact reached €5.4 billion in the first half of 2023 compared to €4.9 billion in the year-ago period. Profit from recurring operations increased 10% from €987 million to €1.1 billion, and operating margin was 20.1% as last year. Jewelry saw solid ongoing growth, and there was some excellent innovation at the watch brands. Tiffany accelerated the elevation of its brand beginning with the state-of-the-art renovation of its landmark Fifth Avenue store in New York, which spans over 9,000 square meters and 10 floors and feature stunning art and design updates. This received widespread media attention and has once again become a symbolic New York destination. The Maison launched its first high jewelry collection, Out of the Blue, designed by its new Artistic Director, Nathalie Verdeille. Tiffany also celebrated the global rollout of its Lock collection, the current face of which is very popular South Korean singer, Rose. Bulgari saw excellent growth, in particular with the great success of its Mediterranea high jewelry line. Maison celebrated the 75th anniversary of its beloved Serpenti line with events across Los Angeles, Shanghai, New York, Seoul and Madrid. And its watches division saw solid growth, in particular, in the high-end categories. TAG Heuer also celebrated an anniversary with the 60th birthday of the iconic Carrera watch. Hublot revealed its collaboration with Takashi Murakami on the collection of 13 unique NFTs connected to the acquisition of 13 individual watches. Zenith expanded its Defy collection and further built out its pilot line. While Chaumet held the inaugural Chaument Echo Culture Awards and added new products to its Liens Evidence line. Fred's Force 10 bracelet line continued to grow, while the brand expanded into new markets. And lastly, we'll review Selective Retailing. Organic revenue, this is Slide 19, for the first half increased a strong 26% with a negligible negative currency impact, reached €8.4 billion compared to €6.6 billion in H1 2022. Notably, profit from recurring operations doubled from €367 million to -- in H1 '22 to €734 million in the first half of this year. Operating margin increased by 330 basis points to 8.8% compared to the year-ago period. In this business segment, Sephora performed exceptionally well. And DFS saw some recovery with the reopening of borders and resumed international tourism. To provide some more detail, at Sephora, there was an outstanding performance across North American, European and Middle Eastern markets with continued market share gains. The opening of the first U.K. store was highly successful and the brand continue to innovate and evolve its highly personalized client experiences while maintaining a strong commitment to diversity and inclusion efforts. DFS benefited from the return of tourism to Hong Kong and Macao primarily with a more gradual comeback in other geographies. And this drove an increase in revenue though it remains below 2019 levels. DFS also saw increased tourist foot traffic at La Samaritaine. An uptick in tourism similarly benefited Le Bon Marché, while its loyal local clients continue to visit the store. There have been several animations held at the store, including the Sangam exhibition by Subodh Gupta, the Comme un poisson dans l'eau digital experience and the Au bonheur des Dames immersive theater performance. All meant to attract and delight shoppers. And of course, there was a continued growth at La Grande Epicerie, where French and international travelers alike come to shop for gourmet foods and confections. Before I pass you on to Rodolphe, I'd like to mention that this will be my last presentation of the group's results as I retire from corporate life. It has been my honor and pleasure to spend the last 23 years with LVMH, which has been a period of enormous growth and success for the group on a global basis. It's been an extraordinary and exciting professional experience, including working with wonderful colleagues at every level, bearing witness to the evolution of and helping to shape the group's investment story and getting to interact with the investment community around the world. Thank you. I'm certain I will leave you all in excellent hands of my team colleague, Rodolphe Ozun, who many of you already know, and the very capable team behind us. I will now turn it over to Rodolphe to comment the figures.
Rodolphe Ozun: Thank you, Chris. Good evening, everyone. I will start the key figures review with revenue for the first half of the year, as shown on Slide 22. LVMH's revenue increased by 17% on an organic basis, exactly in line with the organic growth of full year 2022. Currency impact amounted to negative 2% as most currencies depreciated against the euro in the second quarter and perimeter impact, namely Joseph Phelps and was negligible. On a reported basis, revenue increased by 15% to €42.2 billion. The next slide, Page 23, details the geographic breakdown of revenue in euros. Compared to the first half of 2022, Asia rose 2 percentage points in the mix, France rose 1 percentage point, whilst the U.S. declined 3 percentage points to 24% of sales, slightly above pre-COVID levels of 23%. Europe and the rest of the world were unchanged. And as you can see, our regional exposure remains balanced with 1/3 of sales in Asia, 23% in Europe, 24% in the U.S., while Japan and the rest of the world make up 7% and 12%, respectively. Let's now look at Slide 24, which summarizes organic growth by region on a quarterly basis. I'll start with the U.S., which increased by 3% first half, of which plus 8% in Q1 and minus 1% in Q2. The sequential deceleration is due to 2 factors. Firstly, remember that our Wines & Spirits was heavily disrupted after some supply chain issues at the beginning of last year and rebounded strongly in Q2. Secondly, we continue to see softer demand from American consumers compared to other Western clienteles and continued growth in American purchases out of the U.S. By contrast, Asia bounced back 23% in the first half of the year, including 34% in the second quarter. So in a nutshell, last year, we had a very strong first half in the U.S. whilst Asia was more muted. This year, we have the opposite, once again highlighting the merits of regional balance. Finally, Japan and Europe remained strong for the first half, up 31% and 22%, respectively. On to Slide 25, you will find a summary of first half growth by division. We already discussed the reasons for the 3% revenue decline in Wines & Spirits. I won't come back on that. All other divisions grew double digits with a particularly strong contribution from Fashion & Leather Goods and Selective Distribution. Breaking down this performance by quarter on Slide 26. Growth was remarkably consistent at group level, plus 17% in Q1 and in Q2, a bit more contrasted by division. Wines & Spirits faced a very uneven comparison basis, as discussed earlier. All other divisions grew double digits in both quarters. Fashion & Leather Goods, Perfumes & Cosmetics, Watches & Jewelry accelerated in Q2 on the back of stronger growth in Asia, while Selective Distribution achieved particularly strong growth rates in both quarters. Moving on to Slide 27, where you will find our simplified P&L account for the first half of the year. Reported revenue growth of 15% translated into a 16% increase in gross profit, and gross margin remained at an all-time high of 69%. Operating expenses increased by 18% on a reported basis and by 1 percentage point as a percentage of sales due to higher marketing expenses, which increased by 24% on an organic basis. Against this backdrop, profit from recurring operations increased by 13% to €11.6 billion, a little bit above the operating income achieved in the full year of 2019. Other products and charges had a negligible impact. Financial income improved significantly due to the mark-to-market impact of our financial investment portfolio. I will comment this in a separate slide in a minute. The group's income tax rate is 26%, very consistent with recent levels. And after taking into account a 2% increase in minority interests driven by the recovery of DFS, the group's share of net profit amounted to €8.5 billion, up 30%. Let's now look at the profit from recurring operations by business on Slide 28, starting with the most contrasted divisions. You have 2 negative swing factors here, Wines & Spirits and other activities and eliminations, which are more than offset by a doubling of recurring profits in Selective Distribution. Taken together, the net effect of these 3 lines is a plus 9% increase in recurring operating profit. The other 3 divisions are closer to group average plus 10% for Watches & Jewelry, plus 14% for Fashion & Leather Goods, in line with the second half of last year and plus 15% for Perfumes & Cosmetics. Moving on to Slide 29, where you have a breakdown of EBIT growth constituents. At constant currencies recurring operating income increased by 15%. Perimeter impact was negligible. Currencies had negative 2% impact resulting in a 13% increase in recurring operating income on a reported basis. The next slide on Page 30 details our financial income, which improved by €1.3 billion. Two highlights here. Firstly, you can see the impact of higher interest rates on the cost of debt, which now amounts to €171 million, while we had a €2 million gain last year. And secondly, the revaluation of our financial investments, which benefited from more auspicious markets. Slide 31, you can see a snapshot of our balance sheet structure at end June. It's fairly similar to last year and does not call for any specific comments. Let's now look at Slide 32, which details our operating free cash flow. As you can see on the first line, our cash from operation increased, whereas operating free cash flow declined by €2.2 billion. There are 3 main reasons to this decrease. We've already discussed one of them, which is the higher cost of debt. The second one is working capital, which increased due to revenue growth, of course, but also to strategic investments. We took advantage of a good 2022 harvest to increase our stocks of Champagne and . And we increased our stock of precious to support the growth of our high jewelry business. The third reason is CapEx, which have increased by €1.7 billion, of which €1.5 billion relates to the acquisition of commercial real estate. Finally, on Slide 33, a comment on the group's net debt, which increased by €1.3 billion, although as you can see, the gearing ratio is stable at 21%. I will finish my comments on the figures with the interim dividend, which has been fixed at €5.5 per share to be paid on December 6 this year. Thank you for your attention, and Jean-Jacques will now conclude this presentation.
Jean-Jacques Guiony: Thank you, Rodolphe. So I would like to conclude this brief overview of the activity with a few comments highlighting the most important points of this semester. As always, it is not easy to look forward, given business and political uncertainties. This said, we can mention a few important points. First, we enter the second half with continued strong creative momentum of our Maison. Second, our geographic balance and diversification has proven to be a very key asset over the last couple of years. And thirdly, our financial strength provides an unparalleled ability to invest behind our brands. So this doesn't mean that we are immune to any external shocks. It just means that we have the ability to face more adverse conditions and to emerge from them stronger than ever. With this, let's turn to Q&A, and Rodolphe, I will let you summarize the process.
A - Rodolphe Ozun: Thank you, Jean-Jacques. We will now open the line for questions and answer. [Operator Instructions]. And the first question comes from Chiara Battistini from JPMorgan.
Chiara Battistini: A couple of questions please for me. The first one, maybe coming on the Fashion & Leather Goods performance in the quarter. If you could comment on the performance by nationalities and notably the progress you've seen with the Chinese consumer maybe possibly against the 2021 base for easiness of comparison on the base? And the second question on the profitability of Fashion & Leather Goods, there was a level of reinvestment. It was a bit higher than what I had anticipated. So I was hoping to get some more color on areas. You mentioned marketing by anything else? And should we be thinking about this kind of level of investments for the full year for Fashion & Leather Goods.
Jean-Jacques Guiony: Thank you, Chiara. So your first question about the Chinese nationality in Fashion & Leather, you're absolutely right in suggesting that we should compare it with 2021 as it is certainly the right measurement given the disruptions in the comparison base in 2022. It's also valid for a second reason, is that we've seen throughout the first half of the year a significant increase in the share of the global business we do with mainlanders outside their domestic country. So the share of tourism actually went up from, roughly speaking, 15% of the total in the course of 2022 to as much as 30%, if not more, in the course of 2023. So that's another good reason to look at it on a global basis and compare to 2021. If we do that, over the semester and despite a fairly slow start in January and to a lesser extent in February, we enjoyed a 40% to 45% increase on a 2-year stack basis of our business with Fashion & Leather. Vuitton is slightly above that and Dior is slightly below that. But all in all, we are very satisfied with the level of business we do with the Chinese client base as it has been up compared to 2021 more than 40%. Your second question about the profitability of Fashion, you've seen a slight erosion of profitability in the first half of the year, something like 80 to 90 basis points, if I'm not mistaken. This comes from two things. One is some reinvestment, as you suggested, into advertising and promotion. You may have noticed unless you are living on another planet that we have done a few runaway shows of a certain magnitude in the course of the first half of the year. And I refer particularly to the Vuitton men show in June, but there were many others during the quarter with a very good resonance and a very good impact with the client base. So we are very happy with what we've done, but this comes unfortunately with the cost. And this cost is reflected into our advertising and promotion expense that rose slightly more than our sales. The second factor, which is a bit more unusual, is that if we look at the breakdown of our business where we got the highest growth, namely in China and in Japan, is where we've seen the more currency pressure. Everybody thinks about the dollar being going down against the euro. It was not the case. In the first half on average, it's exactly the same level. But it is not the case for the renminbi and the yen. And despite some price increase, we have not been really able to offset the currency movements. And we had a little bit of pressure coming about something like 40, 45 basis points coming from the geographic mix. Usually it doesn't happen because we are able to increase prices fairly quickly. We decided to postpone it a bit, not -- in order not to impair the momentum in those two geographies. It will come at some point, but I cannot really elaborate at this point in time.
Rodolphe Ozun: The next question comes from Rogerio Fujimori from Stifel.
Rogerio Fujimori: I was just wondering if you could talk a little bit about what is in jewelry, Jean-Jacques, Tiffany and Bulgari, additional color in terms of performance by region, nationality and price contribution, et cetera. And my second question is just also if you could talk a little bit more about the U.S. cluster performance for .
Jean-Jacques Guiony: Okay. So on Watches & Jewelry, you've seen the global numbers. It was a pretty good global -- a pretty good number all together with a growth of 13% in organic terms throughout the first half of the year. Watches & Jewelry is no exception to the global trend that has been described before, a little bit under pressure in the U.S. and a very strong performance in Asia and notably with the Chinese customers. They are not growing -- if I take the same measurement, I mean, the 2-year stack basis and the global customer base, Chinese customer base, they don't rise as fast as the number I mentioned before for Fashion & Leather. But we are in between 25% and 30%. So a significant growth anyway with Chinese customers over 2 years. But obviously, the share of the business within U.S. -- in the U.S. with Tiffany doesn't enable them to grow as fast as Bulgari. So we have a little bit the opposite of what we had last year. Last year, Tiffany benefited from the strength in the U.S. client base. This year, it's actually Bulgari benefited from the strength in the Chinese client base. Your second question is about the U.S. cluster with Fashion & Leather. It's a bit down. We were slightly positive in the first quarter of the year. We are slightly negative in the second quarter of the year but very close to zero. So all in all, we experienced a little bit of pressure with the American customer to varying degrees amongst brands. Some are more subject to this than others. But all in all, we have a situation where, by and large, the aspirational customer is suffering a bit. We are experiencing drops with enterprise products with online sales with second-tier cities, which is a clear sign that the aspirational customer is not shopping as much as they used to. And conversely, the rest of the portfolio is doing pretty well. So a fairly contrasted situation in the U.S. that explains where we are today with the American customer base, i.e., around the balance compared to last year.
Rodolphe Ozun: The next question comes from Antoine Belge from BNP Exane.
Antoine Belge: First of all, Chris, thank you for all these years of hard work and also have fun in various spaces of the world. So really enjoyed those years. And thanks again, and Rodolphe, good luck. So three questions as usual. First of all, I'd like to come back on this comment about the level of spending in the first half. I mean, Jean-Jacques, if I recall well, in January, you said we will not do this every semester. So that was yet another semester. So could we see basically a bit of a reverse of a mirror of last year, even in H2 last year, H1 this year and then over the full year, it's sort of normalized? Or do you think that now these fashion shows, and I mean, it's basically that I wouldn't call it a cost of doing business because it's something that you decide yourself, but you -- I think you understand the question. And my second question relates to Europe. So here, is it possible to have a bit of a same question that was already asked for the nationalities, especially for the local consumer in Europe for Fashion & Leather. And finally, I mean, the FX impact was minus 2 on EBIT, minus 2 on sales. So I would say, pretty neutral. It seems that you never benefited from the huge increase in the dollar of last year, so which is a bit of a premier for me, especially since you're using option. I would have expected at some stage you to benefit. I understand you mentioned elements and other currencies. But what happened in terms of -- is it because there were some option tunnels that were outside of the band or anything like that, if you could share some color.
Jean-Jacques Guiony: Thank you, Antoine, on your 3 questions. First of all, on the A&P spending, is it -- basically, your question is whether this is a new normal or not. I don't think so. We had in the first half of the year a number of events, particularly that bear in mind that there is a cost coming with these events. But on top of that, there is also a marketing support on advertising and media that we have to do to make them more efficient. So the cost of all these initiatives was obviously quite high. I'm not saying we regret it. 1.1 billion views on the Pharrell Williams show on the Pont Neuf is quite extraordinary in my view and worth the investment. But anyway, this comes with the cost. Second half should be more quiet on this. I'm not saying that we don't have events, and we'll have some that hopefully will surprise you. But probably to a lower frequency and level than what we had in the first half of the year. The second question is about Europe and basically locals versus tourists. As you've seen, I mean, we are growing about 20% in Europe in the first half of the year. This is not only achievable with the contribution of locals. You need some boost from touristic flows as well to achieve that type of growth. By and large, I'm simplifying it a little bit, but locals, particularly in Fashion & Leather, we're growing mid- to high single digits in most geographies, while the extra business came from touristic flows mostly from the U.S., but also from other European countries and to a lesser extent, obviously, from Asia. Your question about FX is actually -- well, comes back to what happened last year. Well, we cover -- we hedge our business through options, mostly through tunnels. Actually, there is a ceiling to the option strategies that we are putting in place. And above a certain level, we don't benefit from the appreciation of the currency. Obviously, it doesn't happen very often, but last year, given the sharp increase in the U.S. dollar particularly in Q3, we did not fully benefited from the strengths in the U.S. dollar as we ended up selling our dollar with a cap on the benefit we were getting. That's probably why you -- when you compare that with this year, you seem to be a bit disappointed, let's put it that way. Bear also in mind that this year, the second half should be different. But in the first half of the year, we only registered significant hedging gains on the renminbi and the yen. This is significant. But anyway, it doesn't touch the U.S. dollar portfolio as our rate this year was very close to last year's average rate. It turns in out that the second half will be different in this respect.
Rodolphe Ozun: The next question comes from Thomas Chauvet from Citi.
Thomas Chauvet: Can you hear me?
Jean-Jacques Guiony: Yes, we can. For sure.
Thomas Chauvet: Well, firstly, a brief message to Chris. Wishing you a very happy retirement. It was a pleasure working with you over the last 17 or 18 years. Thanks for your support, and wishing all the best to Rodolphe in his new role. My three questions, firstly, perhaps on Cognac. Jean-Jacques could you try to give us a bit of your kind of crystal ball outlook for the rest of the year, comment on depletions, inventory levels, pricing? And with regards to the U.S. specifically, I mean, are you concerned like maybe some of your peers or some commentators about the loss of perhaps team and desirability of the Cognac category relative to other categories, some other categories that you have in your portfolio actually. Secondly, on Selective Retailing, could you elaborate on the big profit swing? It's been a while. We haven't seen that in that division. How much of that is due to DFS and Sephora? And regarding DFS, how is the lack of recovery in groups impacting your DFS strategy for the rest of your year, how are you adopting? And finally, a broader question on Vuitton and Dior. Back in January, there were 2 major management changes Delphine Arnault taking over the CEO role at Dior, or the Dior CEO, Pietro Beccari, replacing Michael Burke at Vuitton. I know it's been only 6, 7 months, but what would you say will be the top 2, 3 priorities? Obviously, the large brand of LVMH never go through radical changes. But I was curious to hear your thoughts on what changes you think could happen or you may have already noticed in the next phase of growth of these 2 very large brands?
Jean-Jacques Guiony: Well, the answer on your last question will be quick, Thomas. I mean, the 3 top priorities are desirability, desirability and desirability. And this doesn't change. I mean, it was the case with Michael, now with Pietro and with Pietro now with Delphine. I mean, there is no change at all in our strategy, and all our energy is focused on increasing desirability of the brands. Coming on your questions, your more specific questions, Thomas, on Cognac, well, it's a broad question. As you've seen, I mean, we -- and as I announced a few times already, I guess, the first half of the year was not a very good period for Cognac for a number of reasons. First of all, we are -- if I look at the eastern part of the world, we are recovering, yes, in China, but mostly from a depletion viewpoint. From a selling viewpoint, we are still lagging behind the level of business we used to do because we built inventories, particularly at the end of last year with the non-Chinese New Year period that we experienced. We had accumulated stock in view of the Chinese New Year, and nothing happened for reasons I don't have to remind you.  So obviously, this is a little bit slow. But the business depletions, particularly in China, are picking up nicely. And obviously, at some point, these excess inventories will be absorbed and will resume growth in China. So we are not really worried there.  The U.S. situation is a bit more complicated. We combine a fairly tough comparison base in the first half of last year with inventory replenishment after frantic growth in 2021. So we had to replenish inventories early in 2022 and a pretty brutal and sudden slowdown in demand starting August last year, and we are still in that situation.  The U.S. market, as you know, is for cognac a fairly cyclical market. We are selling to distributors, who in turn sell to retailers, who in turn sell to end customer. This is a complicated system to monitor, and we are obviously subject to inventory buildup or inventory shortages that would cause some volatility in our own business. This is exactly what's happening.  On top of that, we've been through a period of very high demand in 2021 and early 2022, but mostly 2021. And this has caused most distributors to stop promotions on Hennessy. Why would they promote a business that they would do anyway?  The consequence of stopping promotion, it's not the first time we experienced that is that progressively Hennessy goes back onto the shelves, and some other categories are brought forward with better deals for the customers. And progressively, we see a decrease in the visibility and the level of activity from the customers.  Obviously, we are reacting to that. We have reignited a fairly significant promotion activity in the U.S., and it is already bearing fruit in the areas or in the states where we have been able to implement them.  Don't take me wrong. I mean, it will take a while. I mean, the U.S. distribution system is extremely complex. And it takes -- we have to do it on a state-by-state basis. And it will take a lot of time before we are probably, I would say, in between 2 and 4 quarters before we are really able to benefit from the impact of a renewed marketing activity.  But the fact that some states are already showing some promising signs of early recovery is encouraging. So my crystal ball doesn't tell you more than this, but we feel that we have probably bottomed out in cognac in the U.S.
Rodolphe Ozun: The next question comes from Edouard Aubin from Morgan Stanley.
Edouard Aubin: Again, Chris, thank you so much -- for this retirement. Thank you for all your help over the years.  So three questions. Cosmetics, Jean-Jacques, you mentioned that in Q1 that growth was flat to down in Asia. And apologies if I missed it, but could you comment on the geographies and particularly in Asia in Q2? Because you had mentioned that some of your competitors in the region in China were overly aggressive in terms of discounting our presence in Hainan.  And indeed, post that, I think we saw a warning from one of the biggest player there. But so is the situation, the competitive landscape normalizing there in terms of supply demand, that would be helpful. So that's #1.  Number 2, on Vuitton's distribution strategy and more specifically, the duty-free strategy. So it seems that you're clearly moving away from downtown duty free. I think you downsized very significantly your business in Korea, for example, in recent years to more to airport duty free. I think in the past, you were quite reluctant to go into airport because of high rents. So I think you're underindexed to the channel versus some of your peers. So what has changed there in terms of Vuitton's willingness now to be bigger in airports?  And the last question is on your operating profit. If you could give us a little bit of color, Jean-Jacques, on 2 items. I think general and administrative expenses were up 19% on a reported basis versus 15% sales growth. So that would be helpful in terms of understanding why. And also others, I mean, [indiscernible] if I remember correctly, despite the fact that I think you have [indiscernible] should be flying in H1 and so on. So that would be helpful to understand why the increase in the losses there.
Jean-Jacques Guiony: Okay. Thank you, Edouard. First of all, cosmetics in Asia, it's hard to say. For us, it's definitely particularly travel retail Asia, is an area of weakness today. We are still down compared to last year, which was in turn down compared to the preceding year, et cetera, as we want at all cost to avoid travel retail in Asia becomes a sort of pass into discounted products into China.  So as far as we are concerned, we suffer a little bit of a drop in business in travel retail Asia. The Mainland China business is progressing, difficult to say by how much. Obviously, the comparison base in Q2 is distorted a little bit there the same way it was distorted elsewhere. So we have pretty strong numbers.  On the global competition landscape, as you asked, I think that progressively, a lot of players realize that fueling the market through the [indiscernible] in parallel is not an option long term. They have already caused a lot of promotional activity into China, and we all know that in all markets, including China, but in all markets, when promotion is there, it's hard to take it out. So it will take a while.  As far as our -- as we are concerned, I mean, we don't want to play this game. But obviously, this has price, as I said many times, in terms of level of activity compared to more promotional products or brands.  The second question on duty free. What has changed? Well, the answer is in your question. Rents have changed. We've been able progressively to negotiate with airports rents that were making the business interesting from our viewpoint. And the airports are asking us rents that are commensurate with the type of business we -- the type of traffic we could expect to benefit from, and therefore, end up with margins that are comparable to what we do elsewhere.  And in this respect, we are much better off being in airports where we have a highly qualitative environment than to be in some downtown duty-free areas, particularly in Korea, where sometimes the surroundings are not up to our distribution standards. So this is why we are opening more and more airports, as long as we can negotiate good deals from a rental fee viewpoint.  The question on G&A and the other category is the same answer. There was in the other category, not in the operating activities, but in the central cost portion of it, a number of one-offs. I will not go into details, but that have caused this particular cost line to increase quite significantly in the first half of the year, and most of them are G&A.  So the reason why you see an unusual increase in the G&A and an unusual amount of operating loss for the other division is the same thing. And most of it, if not all of it, but most of it is -- most of the increase is one-off.
Rodolphe Ozun: The next question comes from Louise Singlehurst from Goldman Sachs.
Louise Singlehurst: Again, a very big thank you to Chris. You are going to be missed, but thank you so much for everything over the years.  And I'll keep it to 2 questions, if I can. Jean-Jacques you've very kindly talked about the U.S. environment, and you gave that discussion around the aspirational consumer. Can you just help us think about what you're seeing more broadly across the product categories? Is it the aspirational consumer across the various divisions? And is there anything that we should think about -- I know we're not going to get an exit rate, but when I think about the progression through the quarter, is there anything that we should think about going into Q3?  And then secondly, I wondered if you could talk about the European consumer, that domestic cluster if you're still seeing anything there to do with the aspirational?  And as said -- but I'm going to get my third question in. If I could just ask about when we think about the volatility and the potential in the market, obviously, you're not anything like in cost-saving mode, given the strong growth that we've seen. But is there anything in the cost base that you're thinking about differently today than you were the last time we had an update with you in Q1? Is there a cause for more vigilance in terms of the overall budgeting and the thought around the cost in the budget as you look out to the rest of 2023?
Jean-Jacques Guiony: Thank you, Louise. So your first question is about aspirational customers across category. I would say that my comment is -- pertains mostly to Cognac, to Fashion & Leather and to a lesser extent to Jewelry. This is where we've seen a little bit of discrepancy between the top end of the portfolio from a product viewpoint, in particular, and enterprise level where the business was more muted.  Anything about Q3, frankly, I don't know. I mean, this probably will not vanish in 10 minutes. But if we assume that this is coming from a special group of customers that were benefiting from subsidies in the COVID -- in the pandemic period, this will come to an end at some point, whether this will be in -- I mean, the impact, the decreasing impact will come to an end at some point. Whether this will be in Q3 or later, frankly, I don't really know.  If I'm not mistaken, your second question is about do we see with locals in Europe the same discrepancy between aspirational and other customer. The answer is no. It's a factor which seems to be particularly unique in the U.S.  And your third question about volatility. Well, I take it as what keeps me awake at night for the rest of the year. Well, I tend to sleep reasonably well. But as always, I mean, the world is full of uncertainties. And particularly with regard to currencies, nobody knows what could happen. So I'm not saying I'm pessimistic or forecast any currency drop. I mean, nobody knows. Making currency forecast is neither an art nor a science, so I don't know exactly what it is. In my view, it doesn't exist. But it's always -- in terms of risk, that's always something that we have to put somewhere in our analysis.
Rodolphe Ozun: The next question comes from Zuzanna Pusz from UBS.
Zuzanna Pusz: Best of luck to Chris and Rod. So first of all, maybe on A&P spend because that's been sort of a big topic this half and also the prior one. Would you be able -- the A&P spend roughly as a percentage of sales for...
Jean-Jacques Guiony: Zuzanna, we missed part of your question. Sorry, you were cut off at some point.
Zuzanna Pusz: Apologies. Hello?
Jean-Jacques Guiony: Yes. Can you please repeat your question because we missed part of it.
Zuzanna Pusz: So my question was on A&P spend. You just talk about the division or LV per se. What would be the sort of level, I guess, this half or second half of last year, given that you've hired -- increased the spend?
Jean-Jacques Guiony: I'm not so sure I get your question because I missed some words out of it. But if I'm not mistaken, you're asking whether -- what is the sort of steady state level of advertising and promotion once -- if we take out the exceptional spending that have taken place in H2 and last year in H1 this year, is that...
Zuzanna Pusz: No, I guess more specifically what level you reached versus the historical spend because obviously, you've been spending a bit more. And I want to put it in a wider sector context, I guess, specifically maybe how fast for some of your peers to catch up.
Jean-Jacques Guiony: Well, if I'm not -- I cannot compare our spending with our peers because that would be -- I mean, because I don't know the numbers. But the -- what we've seen over the last 3, 4 years is, roughly speaking, an increase of 100 basis points in percent, so 1% of sales in terms of advertising and promotion. I think we moved roughly speaking from 11 to 12, something like that.  At the same time, we have benefited from significant operating leverage on selling expenses. So basically we have reinvested into advertising and promotion, what we've been saving on selling expenses. So that's where we are.  For the time being, I would expect this to remain fairly constant for the quarters to come. But that's obviously all of the things being equal, and I don't think there is such a thing as everything being equal in coming quarters. So we'll see what happens.
Rodolphe Ozun: The next question comes from Erwan Rambourg from HSBC.
Erwan Rambourg: I hope you can hear me. Congratulations on H1. And many thanks and congratulations to both Chris and Rod . Hope to see you both soon.  Three questions, if I may. Looking at the U.S. for Fashion & Leather, you're saying you were slightly up in Q1, slightly down in Q2. Again, I know you don't have a crystal ball, Jean-Jacques, but I'm just wondering if you believe there are reasons for Fashion, maybe to do slightly better in H2, whether it's linked to store openings or possibly a repatriation of U.S. consumers given the current FX or possibly equity markets, which are actually very strong right now in the U.S.  Secondly, looking at Fashion and close to 20% top line growth in H1, I'm wondering if you can isolate what part of that is driven by price increases? And maybe what is your appetite to increase potentially further prices in H2 for that division?  And then lastly, I'm wondering if you can comment on the contribution of Chinese nationals in both Europe and Japan as a percentage of sales and maybe how that compares to what it was pre-COVID before the world shutdown.
Jean-Jacques Guiony: Well, the first question, you anticipate reasonably well that I will -- my crystal ball doesn't tell me much about it. One precision nevertheless, the slightly positive, slightly negative number I mentioned is about the U.S. cluster as -- the U.S. customer cluster as a whole. It's not the U.S. business, Fashion & Leather in the U.S. It's taking into account the touristic flow.  You're right. I mean, maybe we'll get repatriation with a weaker dollar. I mean, the short answer is that we don't know. So we'll see further discussions on this when we release Q3 numbers. But for the time being, I feel a bit short on insights as to what could happen in the rest of the year.  Price increase in -- it's always difficult to look at it globally for the division, but don't -- make sure you don't exaggerate the impact of it. I mean, we passed on some price increases last year to reflect inflation. It was pretty early in the year.  So there is no -- there is only little impact in the first half of this year. And the price increases that have impacted us positively in the first half of the year were mostly in Europe. Late last year and in February, we had limited 3%, 4% price increases, if not across the board, I mean, in many brands. But Europe is only 1/4 of the business.  So the global impact of price increases is not enormous. It's not negligible. I will not go into details as if I'm not mistaken, our competitors are pretty shy on describing that in too many details. But anyway, it's not a big contributor to the global growth of the division in the first half of the year.  Your third question is about Chinese nationals in Europe and Japan. Well, in Europe, it's very small. It used to be a large -- a big chunk of the business up to 2019. It's very, very small. I mean, we have no groups. We have only individual travelers, and they are only a fraction of the total clients we used to have in Europe. So it's very small.  And in Japan, it's about 15%. I'm talking Fashion & Leather, obviously. It's about 15% of the total business, which is pretty close to what we used to do in 2019. So the rebalancing of the Japanese business, touristic and nationals, came back pretty quickly.  Bear in mind that Japanese prices are pretty low due to the drop in the value of the yen. And there is a big price difference between China and Japan today that will be progressively -- that will be decreasing in the future as we increase progressively our prices in Japan as we have to -- we don't want Japan to become a sort of hub for [indiscernible] that will flow the product into China. So unfortunately, we will have to increase, and we already increased progressively our prices in Japan.
Rodolphe Ozun: The next question comes from Geoffroy De Mendez from Bank of America.
Geoffroy De Mendez: Thanks very much for all the help, Chris, and best of luck for -- to Rod for the future. I have three questions. So the first one, I wanted to come back on the very, very first question, which was about the Chinese cluster and the performance that you mentioned. The 40% to 45%, can you just remind us if you were talking about the quarter Q2 or if it was about the whole first half because you also said that Jan and Feb were...
Jean-Jacques Guiony: It's a whole first half.
Geoffroy De Mendez: It's the whole first half. So Q2 is going to be significantly or quite above that number because...
Jean-Jacques Guiony: No, yes, I know what you're implying, well, it's comparable to Q1, nevertheless. The reason you're asking that is that January was still a bit disrupted. But all in all, I mean, February has been better. And March has been very, very good. So all in all, I mean, we end up with Q1 and Q2 compared to 2021 being comparable. Not exactly the same number but comparable.
Rodolphe Ozun: Geoffroy, we've lost you.
Geoffroy De Mendez: So yes. I was muted. So yes, the second question is on the operating investments in the cash flow statement. Obviously, I mean, you generated a lot of cash. There's not a ton of M&A activity out there at the moment. And so therefore, you seem you're buying stores at the moment in real estate. Is that something that sort of a new normal that you're going to do going forward, it's a new strategy for the group in terms of capital allocation?  And then just my last question is going to be on the full year margins, I think I remember you saying that you wanted to defend the margins at least for 2023, and they're slightly down for the first half. I understand there is a marketing investment, which we discussed that maybe is going to come down a little bit in the second half of the year relative to sales growth, but is it still true that you're targeting to defend the margin for the full year 2023?
Jean-Jacques Guiony: So on the cash flow and the real estate investment, which were quite significant as we invested as much as €1.5 billion in the first half, I would say it's quite opportunistic. We do not have a global strategy of owning our stores. Renting is fine. In pure financial terms, actually owning and renting is exactly the same thing as the value of a property is the discounted value of its rent. So basically, it should be exactly the same.  In the real life, there are some locations, not that many, but some traditional locations where by experience, we see that the rental fees are growing faster than actually their implied value in assessing the global property value. So then it makes sense to own it because there is an opportunity in the market to buy it at a certain price, which is usually extremely high.  But actually what happens is that in the years to come, if we rent, chances are that the rental cost will go even higher. And we'll -- so we are better off owning the property rather than renting it.  There are not many places like that. You can mention Paris, London, New York and Fifth Avenue and probably Rodeo Drive in Los Angeles. And that's about it. And that's where we have been putting over the years because it didn't start yesterday, over the years, the bulk of the capital we've been investing into real estate.  We happen to have an opportunity on Champs-Elysees at the end of the first semester, which we decided to buy because it's an exceptional building. There may be more -- a little bit more to come, but it will depend on the quality of the opportunities that we see in any way. We just buy exceptional buildings in very safe and stable locations.  And full year margins, yes, we -- the short answer is that yes, we intend to defend our full year margins at the level of last year. Obviously, barring significant currency movements because if there is one thing that could distort margins in the full term, it is currencies. I mean, we cannot always replicate into selling prices, the swings in currencies, so this could have an impact. But otherwise, we expect despite the slight decrease in the first half, we would expect to keep the same level of margins.
Rodolphe Ozun: The next question comes from Carole Madjo from Barclays.
Carole Madjo: A few questions for me, please. I want to come back on the behavior of the Chinese consumer. I've been hearing some of your peers mentioning that they have seen in Mainland China a bit of pressure on the high ticket items as the consumers were, I guess, holding off a bit on their spending as you were waiting to buy once they will be able to travel abroad. Have you also seen this kind of trend across your brands? That's the first question.  And the second question will be on hard luxury. The first one on Tiffany. Can you come back on the reception of the reopening of the New York store during the quarter? And can you also quantify how much it boosted Tiffany sales in Q2, if possible?  And the last one as well on the watch space. I see that there is a bit of focus on brand elevation when I look at LV or TAG Heuer on the back of the recent news flows. Can you come back a bit on the strategy you have for your watch brands and how you view as well the trend in the watch industry at the moment?
Jean-Jacques Guiony: Thank you, Carole. So the pressure on high tickets, frankly, no, we don't feel it. The Chinese customers are -- the breakdown of the business is not -- I mean, it's not constant, but is not entirely different from what it was 2 years ago and prior to the pandemic. So we cannot comment on that.  From time to time, we have high ticket items that are being bought abroad, particularly in locations where taxes are lower. But that's not the norm. So for the time being, we get no pressure from that.  I will disappoint you on the following question about the landmark. I mean, we don't even disclose Tiffany sales. So it's unlikely that we will disclose the sales of one of their stores. The only thing that I can say is that it's doing very well, according, if not better than our plans.  But it goes beyond the simple numbers. I mean, it's a very important landmark, I would say, in our elevating strategy for Tiffany, and it's testimony to really what we want the brand to become. And given the business we do and even more importantly, the traffic we get into that store, it's -- I wouldn't say free advertising because it didn't come for free, but it's also good advertising. So the benefit of the landmark is not only the business we do there, but the impact it has on the global image of the brand.  Thirdly, on watches. Watches are doing okay in the first half of the year in all categories. The big difference with some of our competitors is that we are less exposed to Asia, and usually Asia is the first area to recover or to -- the first area of growth, and we've never been able to benefit from that as we -- our share of the business in Asia is low.  As far as the U.S. is concerned, we feel a bit of pressure, particularly on the aspirational customer side, as I explained before on other categories. But all in all, I mean, it's not too bad. So we end up with a slight -- I mean, low single-digit growth in this particular segment of the business, which is not too bad given our pretty high exposure to the U.S. market in some brands.
Rodolphe Ozun: The next question comes from Dana Telsey from Telsey Advisory Group.
Dana Telsey: Chris, congratulations. And I just wonder if are we still going to get the birthday e-mails that we typically get -- actually from many years ago.  A couple of questions. First of all, the Tiffany store looks terrific. I love the Audrey Hepburn room, and I see how it elevates the -- are you -- and I know you just updated Tokyo also. Are there other -- how do you see the rollout of the Tiffany remodelings going forward?  Second, you mentioned digital for a moment in the U.S. What are you seeing in your digital performance versus your own store performance? And can you expand just a bit on Sephora, skincare and makeup, what you're seeing, whether it's in the U.S. or other areas of the world?
Jean-Jacques Guiony: Thank you, Dana. So the rollout of the store concept at Tiffany, well, first of all, we'll take some time as we have to redo basically the whole fleet. I mean, not one single store apart from the few ones that we have already renovated are up to our standards. And it will take time and a lot of money to redo them.  We won't -- I reassure you, we won't do them all in the format of Fifth Avenue. I mean, we'll be adapting to the various markets. But at the end of the day, what we want is within 3, 4 years max to have redone most of the network of stores at Tiffany. And that's a significant capital cost that we have to bear. But frankly, I mean, what we want to do with the brand cannot be done in the existing network.  Digital versus brick-and-mortar stores, which is your second question, Dana. Digital is, roughly speaking, across the world, but into most geographies quite stable. So the bulk of the growth comes from the stores, physical stores and conversely, obviously, the share, global share of digital goes down a little bit in the global business.  The question I would ask myself is whether this is relevant or not. I mean, our digital strategy is mostly an omnichannel strategy, which is basically a strategy whereby we are, I would say, indifferent whether clients are purchasing online or off-line. And we are now being faced with situations where people are buying products online and getting store delivery. Is it online or brick-and-mortar, we don't know or the other way around, I mean, people in stores deciding to get shipping at home, is it online or brick-and-mortar business, I don't know.  So this difference between the 2 is probably relevant in some categories. Maybe at Sephora, for instance, although we also promote omnichannel as a key competitive advantage for Sephora. But for other categories, I mean, I think it's less and less relevant.  This makes a link to the last question on Sephora. Sephora had a pretty good or very good, I should say, first half of the year with nice growth, I would say, almost everywhere in the world, be it the U.S., be it Canada, be it Latin America, France, Italy or the Middle East. I mean, we've done pretty well not only from a top line viewpoint, but also from a bottom line viewpoint, we are -- the margin improved markedly. So we are pretty happy with what Sephora does and has been doing for the last couple of years, I would say.
Rodolphe Ozun: The next question comes from Charles-Louis Scotti from Kepler Cheuvreux.
Charles-Louis Scotti: Yes. I have two. Actually, the first one, there has been much discussion about how much Chinese spending will shift back to overseas market. And it seems that the share of domestic spending of Chinese will remain structurally higher than pre-pandemic level. I'm just curious to hear your view on this topic. And what would be the implications for your business and potentially on your profitability?  And then on Selective Retailing, on the margin turnaround of the division, could you please help us quantify how much of that is coming from Sephora, and how much of that is coming from the strong rebound at DFS and without giving us some precise numbers on Sephora? Could you please tell us how far we are at DFS from the pre-pandemic margin and earnings level?
Jean-Jacques Guiony: Thank you. So the first question, sorry. Chinese, okay -- onshore and offshore. So as I said, I mean, last year was 15-85. This year is 30-70. So the shift of business back to touristic markets happens pretty fast, to be frank, a bit faster than we thought, but we adjust to this new situation.  Is it a stable proportion or will it increase further? I don't really know. I mean, obviously, it will depend a little bit on the reopening of European markets for Chinese customers. For the time being, as I said before, we only have any Chinese groups, particularly in Europe. The day those markets we opened, and I'm not making any forecast as to when this will happen, obviously, there will be a further shift of business into touristic market, probably at the expense of the domestic market. But for the time being, it's still far off. I mean, we have no particular visibility on that point.  In terms of profitability, I mean, we've seen both an increase in the profitability of Sephora in the first half of the year and actually a return to a marginal, but profit anyway at DFS. So in terms of impact, it's roughly speaking, half-half with the 2 divisions.  Obviously, DFS is very far away from its peak margins, which were above 10%. I mean, we are hardly positive, but at least we are positive compared to a loss-making situation last year that was quite unique, but painful anyway.
Rodolphe Ozun: And the last question comes from Liwei Hou from CICC.
Liwei Hou: Congratulations to both Chris and Rod for moving on to the next stage of your life and career. I have three questions. First two are very straightforward, and the last one is more open-ended.  The first one is Chinese cluster. Four years back when comparing with 2019, I think in the first quarter, Jean-Jacques, thank you for letting us know that Chinese cluster has grown 40% to 50% versus 2019. Just want to get the update for the number right now.  And given that, if I'm not mistaken, the American cluster and perhaps European cluster has grown something like 60% or 70%, 2022 versus 2019. There's a parity of gap between the growth and how -- in what time frame do you think the Chinese growth will catch up with the growth of the Western clusters. So that's the first question I have.  And the second one, if I remember correctly, Tiffany's last annual report before the acquisition, it had disclosed 37 exposure to the U.S. market. I wonder how that number has evolved here today. And yes...
Jean-Jacques Guiony: In the U.S.? Okay. Sorry. Yes, sorry.
Liwei Hou: Tiffany exposure to the U.S. and I'm just trying my luck here. If you also touch a little bit on Bulgari's exposure to China, that would be very helpful in understanding the dynamics.  And the last question is some of your peers have recently commented on the future growth of Luxury industry. They have deemed the high growth in the past 3 years as abnormal, and they have put forward high single-digit, low teens as a sustainable growth going forward. I wonder what would be our comments on that. Yes, sorry for the long questions.
Jean-Jacques Guiony: Thank you. Well, the four year stack, I mean, I thought I would be bringing you some news with two year stacks, but it's never enough. I mean, you really want now the four years. Unfortunately, here, I don't have them.  What I can try to sort of put together the numbers as last year we announced that our business for the full year was Fashion & Leather, about 70% bigger than what it was in 2019. So as we have added up something like 20% above that, we are probably twice as big as what we were in 2019.  When it comes to nationalities, I think that the U.S. customer has -- I couldn't give you precise numbers from the top of my head, but what I would say is that on a trend basis, the U.S. customer, despite what happened in the first half of the year, is definitely up in the total of the business.  The Chinese customer is probably stable. And the European customer is a bit down as well as a non-Chinese Asian customers. But they are both down because the rest of the business has grown so fast. So I would -- you will forgive me for the lack of precision of this answer, but I'm just trying to reconcile the numbers I have to try to give you some hints at least on your question.  The share of Tiffany in the U.S. is now slightly above 40%, something like 42%, which is a bit higher last year. It's about 42% of total in the U.S.  And your question on long-term growth, always difficult to say. We never said that growing 20% per annum as we've been doing roughly speaking, I mean, around 15%, 20% per annum as we've done in the last 3 years is a new normal. We never said that.  I mean -- but what is the long-term average growth rate? I don't really know. The only number I will give you, and you will forgive me, it's the last question of a long list, is that the share price of LVMH over the last 33 years has been going up 11.5% per annum. So maybe that's also an indication of the underlying business and what we have done. 
Jean-Jacques Guiony: Thank you. That was the last question. A couple of words to conclude, not to come back on what we just discussed, but -- and it will be probably the [indiscernible] to do that to thank Chris after 23 years, that's it, 23 years with us.  I don't think I have to insist too much on how instrumental Chris has been over the years in developing quality relationships with the investment community. Rodolphe will replace Chris, which means that Rodolphe will be responsible for a downturn in the share price and will have nothing to do when the share price goes up. But it's not a surprise for anyone as we have been building this transition for years. So thank you, Chris, for your invaluable contribution to LVMH, and all the best for this new chapter of your life.  And with this, I conclude the presentation. And Rodolphe and I look forward to discussing with you Q3 numbers in October. Thank you, and goodbye.